Operator: Thank you for standing by ladies and gentlemen, and welcome to the EuroDry Ltd, conference Call on the Third Quarter 2024 Financial Results. We have with us today Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the company. At this time all participants are In a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. Please be reminded that the company announced its results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, EuroDry will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide #2 of the webcast presentation, which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Mr. Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three months and nine months period ended September 30, 2024. Please turn to Slide 3 of the presentation. Our financial highlights are shown here. For the third quarter of 2024, we reported total net revenues of $14.7 million and the net loss attributable to controlling shareholders of $4.2 million or $1.53 loss per basic and diluted share. This significant loss is a consequence of the poor market we have lately been witnessing. But more importantly, on the fact that we chose to bring forward two dry dockings, which coupled with the two scheduled dry dockings we had during this quarter cost about [$4.5 million] (ph) resulted to significant off-higher days. Adjusted net loss attributable to controlling shareholders for the quarter was $3.9 million or $1.42 loss per basic and diluted share. Adjusted EBITDA for the period was $0.5 million. Please refer to the press release for the reconciliation between adjusted net loss and adjusted EBITDA. Our CFO, Tasos Aslidis will go over our financial highlights in more detail later on in presentation. As of November 19, 2024, we had repurchased 314,000 shares of our common stock in the open market for a total of about $5 million, since the initiation of our repurchase plan of up to $10 million which was announced in August 2022. We will continue to execute the repurchase program around current share price levels. During the quarter, we refinanced two of our loans involving four of our vessels, releasing $60 million of available cash reserves, extending loan maturities in 2029 and 2030 respectively, and also lowering the loan margins. Still, our debt levels are below [4% to 5%] (ph) of our vessels market environment. Please turn to Slide 4 for an overview of our sales and purchase chartering and drydocking highlights. The duration of most of our charter contracts is softer for the time being, typically spanning 10 to 100 days, according to their minimum duration. This approach enhances our flexibility allowing us to fully capitalize on the potential positive market shift whenever this happens. You can see the specifics of the various charters in the accompanying presentation. As I already said, believing that Q4 and calendar 2025 would be better than Q3. We brought forward the dry dockings of M/V Maria and M/V Christos thus significantly upgrading the vessels. Additionally, we completed scheduled dry dockings for Yannis Pittas and [Eirini] (ph). During the quarter, we faced an additional 10 days of technical off-hire for our motor vessel Good Heart, which incurred a [turbocharger] (ph) damage. Please turn to Slide 5. EuroDry fleet consists of 13 vessels, including 5 Panamax dry bulk carriers, 5 Ultramax, two Kamsarmaxes and the Supramax dry bulk carriers. Our 13 dry bulk carriers have a total cargo capacity of about 1 million deadweight tons and an average age of 13.5 years. I'd like to remind you that EuroDry owned 61% of the entities that own motor vessel Christos K and Maria. The remaining 39% is owned by owners represented by NRP Project Finance otherwise refer to the NFP investors. Now please turn to Slide 6 for a further update on our fleet employment. Currently, approximately 63% of our fleet secured on the fixed rate charters for the remainder of 2024. Excluding ships on index charters, which are open to market fluctuations that have secured employment. With the daily rates ranging between [$17,750 to $18,500] (ph) per vessel. The wide range of charter rates reflects the importance of positioning of ships during these difficult times. Turning to Slide 8. We go over the market highlights for the third quarter ended September 30, 2024, up until recently. In Q3 2024, Panamax vessels experienced a moderate decrease in both 1-year time charter and spot rates. The average 1-year time charter rate for Panamax vessels stood at $14,923 per day for the quarter dropping to $14,100 per day by the end of September. Similarly, the average spot rate was $20,563 per day with a slight decline to $11,500 per day on the last day of Q3. The market has since declined even further as evidenced by the rates shown at the end of last week across the three dry bulk segments. Time charter rates for Panamax vessels have dropped to further 4.5% while spot rates are also down 12.5%. Please now turn to Slide 9. The IMF latest update from October 2024 project stable yet somewhat underwhelming global economic goals with unchanged forecast hovering around similar levels across 2024 and 2025. While the US has shown resilience with upgraded growth projections, other advanced economies, particularly in Europe have seen either downgrades or staggered growth outlooks. This mixed landscape underscores the need for careful management of sectoral dynamics and monitor policy to help maintain stability and ensure a soft landing particularly as this inflation continues globally. However, many regions still grapple with services, price inflation, highlighting ongoing pressures within specific sectors. Emerging markets continue to drive global growth led by India, the Asian 5 countries and still China. China's growth appears to be slower at 4.8% this year and 4.5% next year, but there is hope that the extra stimulus recently announced may boost productivity growth further. India is projected to grow by 7% in 2024 and a further 6.5% in 2025, supported by significant investment, strong demand in technology and infrastructure expansions. Southeast Asian countries are also positioned for solid growth, benefiting from regional demand and investment momentum. In parallel, Clarksons forecast for dry bulk trade demand in 2024 reflects the dramatic effect of tonmiles from the Red Sea mostly and Panama Canal passages. Assuming these disruptions is almost entirely 2025 forecast showed trade demand growth of just 1.3% for the year. From 5.2% in 2024 and 1% projection in 2026. These projections indicate a cautious outlook for the dry bulk sector, aligning with the global economic landscape. All the above mentioned IMF projections and Clarksons projections are, however, very uncertain as we remain mindful of key macro risks, including the aftermath of the US elections and evolving global geopolitical tensions, which could impact medium and longer-term growth prospects. Please turn to Slide 10. Let's now review the current state of the order book in the dry bulk sector. As you can see, the current order book stands at 10.3% of the fleet, a slight increase from the 2021 low of 7%, indicating a modest uptick in new contracts. Despite this size, the order book remains one of the lowest in historical terms. Factors such as slow steaming, heightened scrapping rates and stricter environmental regulations could constrain the available bulk of fleet in the coming years, thus supporting rates as supply tightens relative to demand. Turning to Slide 11. Let us now look into the supply fundamentals in a bit more detail. As of November 2024, the total dry bulk vessel operating fleet was 13,600 vessels. According to Clarksons latest report, new deliveries as a percentage of total fleet are expected to be 3.6% in 2024, 3.5% in 2025 and 5.9% in 2026 onwards. The actual fleet growth is, of course, expected to be lower than the aforementioned figures due to scrapping and slippage. Also note that 9% of the fleet is older than 20 years old and therefore, a good candidate for scrapping, especially if the market remains at current levels or lower. Please turn to Slide 12 where we summarize our outlook for the dry bulk market. Dry bulk rates have continued to decline with some hitting year-to-date loss. The anticipated fourth quarter upswing has not materialized, and average strip charter rate for Ultramax and Kamsarmax vessels are down by 30% year-over-year. Earlier market support from Chinese stockpiling of iron ore and coal, as well as disruptions in trade routes is now phasing, as supply now starts to exceed demand. Chinese economic stimulus in September intended to provide the means to address the country's economic slowdown but had little effect and therefore, a few weeks ago, China announced a further five years in stimulus package totaling $1.4 trillion to tackle their government debt problems, signaling also that more economic support would come next year. This could indeed provide the necessary fuel to boost markets in 2025. The Panama Canal passage is running more effectively and efficiently following the resolution of the drought issues, leading to an increased supply of ships. The Suez canal situation remained stable although there is limited visibility on when the full return to normalcy can be expected. On the supply side, new ship orders remained limited, primarily due to constrained shipyard slots and the ambiguity around the fuel of the future. Many of the orders being placed are now restructured as methanol or LNG ready so that they can operate on alternative fuels, if necessary, with less need for conversions. As mentioned, the order book-to-fleet ratio is still near historical loans providing a potential setup for rate recovery if demand improves. Additionally, upcoming emissions regulations like the EEXI, CII, EU ETS, Fuel EU, et cetera, could tighten supply through increased scrapping or reduced operating speeds for certain vessels. Let's now turn to Slide 13. As of November 15, 2024, the one-year time charter rate for Panamax ships with a capacity of 75,000 deadweight tons stands at $13,475 per day, slightly below the historical median of $13,700 per day by about 2%. Meanwhile, the market value for 10-year old Panamax dry bulk carriers remain strong with current prices reaching [$25.25] (ph) million. This level significantly above the 10-year historical median of $15 million and the 10-year average of about $17.5 million. These trends highlight still a resilient secondhand market despite the 10% to 15% of action we have witnessed already. We believe the secondhand prices may soften a bit more to align with current charter rates if rates remain at current levels in the following months. Without, however we will see significant further drops as this will be constrained by new building prices. There, we feel there is not much space to give, as the yards are full into 2028 and no need to accept projects at low prices. Additionally, building costs have also risen thus placing a floor to how much the yards are could afford to reduce prices, even if they wanted to. In this context, we are evaluating our opportunities to further grow the company with investments that will enhance our shareholder future returns. And with that, let me pass the floor over to our CFO, Tasos Aslidis to go over various financial highlights in more detail.
Tasos Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. Over the next four slides, I will give you an overview of our financial highlights in the third quarter and nine months of 2024 and compare them to the same period of last year. I would not try to go through every number in the slides that will follow, but rather concentrate on the main points. Let's start and turn to Slide 15. For the third quarter of 2024, the company reported total net revenues of $14.7 million representing a 47% increase over total net revenues of $10 million during the third quarter of last year, and that increase was primarily the result of the increased average number of vessels operated during the third quarter of this year compared to last year. Interest and other financing costs for the third quarter of 2024 amounted to about $2 million compared to $1.6 million for the same period of last year. Interest expense during the third quarter of this year was higher mainly due to the increased amount of debt we carried during the period as compared to last year. At the same time, interest income during the third quarter of this year was lower. We had only $16,000 of interest income as compared to $362,000 during the same period of 2023. The difference again being contributed to lower cash balance sheet that we had during the two periods. Adjusted EBITDA for the third quarter of 2024 was $0.5 million compared to $3.1 million achieved during the third quarter of 2023. Basic and diluted loss per share attributable to controlling shareholders for the third quarter of 2024 was $1.53, calculated on $2.7 million basic and diluted weighted average number of shares outstanding compared to a loss per share of $0.19 calculated of $2.8 million basically diluted weighted average number of shares outstanding for the third quarter of 2023. It should be noted that as Aristides mentioned, dry dock expenses in the third quarter of this year amounted to $4.5 million compared to $0.8 million in the third quarter of 2023, a difference of $3.7 million or about $1.35 per share, which is the main reason behind the difference in the results between the two quarters. If we adjust our results for the unrealized loss or earnings from interest rate swaps, we get adjusted loss per share of $1.42 for the third quarter of 2024, compared to a loss of $0.24 per share for the same period of last year. Let's now look at the numbers for the corresponding nine month period ended September 30, 2024, and compare them to the same period of last year. For the first nine months of 2024, we reported total net revenues of $46.6 million, representing again a 47% in case over total net revenues of $31.7 million during the same period, the first nine months of 2023. And this, again, was mainly the result of the increased number of vessels we operated during the period of this year compared to last year. Interest and other financing costs for the first nine months of 2024 amounted to about $6 million compared to $4.4 million for the same period of 2023. The same reason we had more -- higher levels of outstanding debt outstanding during that year. And interest income for the first nine months of 2024 was [$78,000] (ph) versus $734,000 during the first 9 months of 2023. Adjusted EBITDA for the first nine months of this year was $7.6 million compared to about $8 million achieved during the first nine months of 2023. Basic diluted loss per share attributable to the controlling shareholders for the first nine months of this year was $2.34 and again, [indiscernible] about $2.7 million of basic diluted weighted average number of shares outstanding compared to a loss per share of $1.17 for 2023. If we adjust this figure for the unrealized earnings or losses, respectively, from the interest rate swaps, the resulted adjusted earnings per share or adjusted loss per share becomes $2.77 for the first nine months of 2024 and a loss of $0.57 for the same period of 2023. I will repeat here my reference to dry docking expenses for the nine month period, which accounts for the majority of the difference in the results. Let's now turn to Slide 16 to review our fleet's performance. We'll start our review by looking at our fleet utilization rates for the third quarter and nine-month period of 2024 and compare them to 2023. As always, we will provide the breakdown of our utilization rate into commercial and operational. I will not go through the numbers in detail, but just highlight that our total utilization rate ranged between 98.5% and 99% except for a period in 2023, specifically the second quarter, due which a vessel incident resulted in higher off-hire type and as a result, lower utilization rate. Regarding the rest of the figures in this slide, I would like to highlight that on average, we own and operated 13 vessels during the third quarter and nine month period of 2024, and on average time charter equivalent rate of $13,339 per day for the nine month period and about $13,105 for the third quarter of this year. Comparatively actively, in 2023, we owned and operated 10 vessels during both periods, earning an average of $12,126 per day during the third quarter of 2023 and an average of $11,644 during the nine month period of the year. The final point I would like to make on this slide is to point you to the last line of the table, the 1 that shows our cash flow breakeven levels. During the nine months of 2024 our cash flow breakeven level was around $13,788 per vessel per day, while it was about $15,145 for the third quarter of the year. I would like to highlight the vulnerability of this figure is due mainly to the dry docking expenses, which, as we mentioned several times today, were elevated during the last 3 months of 2024. Please remember this number when we'll discuss the expected cash flow breakeven level for the next 12 months in the subsequent slide. Let's indeed turn to the next slide, Slide 17 to review first our debt profile. As of September 30, 2024, EuroDry's outstanding debt stood at $94.6 million and on a pro forma basis, including recent refinancings, we concluded at $110.6 million. This -- the repayment schedule outlined in this chart is thus adjusted for the financing we completed. Repayments for 2025 and 2026 are between $12 million and $13 million each year. And only in 2027, we have to repay a significant volume payment of about $10 million, which as we have done several times in the past, we would have the option to refinance. A quick comment on this slide about the cost of our debt. The average margin on our debt as of Septeber 30, stood at around 2.19% over software, Assuming a 3-month off rate of about 4.5%. The estimated cost of our senior debt is approximately 6.69%. However, if we factor in our interest rate swaps the portion of the debt that has been covered under interest rate swaps, the effective cost of our senior debt decreases a bit to around 6.54%, positioning to manage our interest expenses more effectively amidst market rate fluctuations. And this average cost of debt will further come down as the refinancing I mentioned were concluded with margins below our average margins. At the bottom of this slide, we can see our projected cash flow breakeven level for the next 12 months that I referred to in the previous slide, broken down into its components. What is important to note is that we expect our cash flow breakeven level to be around $11,766 per vessel per day, and that is really due to much lower scheduled drydocking expenses of $468 per vessel per day that we anticipate for the next 12 months. We have only one drydocking schedule and one in water survey. If you recall from the previous slide, the same figure for the third quarter of 2024 was $3,776 per vessel per day and the difference of about $3,300 is fully reflected in the cash flow breakeven levels that we expected. Let's now conclude our presentations by moving to Slide 18, where we can see some highlights from our balance sheet in a simplified way. This slide offers a snapshot of our assets and liabilities. As of September 30, 2024, cash and other current assets stood at about $20.3 million in our balance sheet. The book value of our vessels was approximately $194.4 million, resulting in total book value of assets of $214.7 million. On the liability side, our debt as of September 30, as I mentioned in the previous slide, stood at $94.6 million, while other liabilities amounted to $8.3 million, and minority interest, the part of our vessels of two of our vessels owned by our JV partners, minority interest of $8.7 million, which in-turn result in book shareholders' equity of about $103 million translating to about $37 per share. But also, it should be noted that the market value of our vessels is higher than the respective book value. We estimate that our vessels are worth about $248 million, a number that is although lower than last quarter, significantly higher than their book value higher by $54 million or 18.5%, resulting in NAV per share, net asset value per share of about $55.5 which compared to our share price of $15 per share, illustrates the appreciation potential our shareholders have if market or other factors trigger a reduction of this discount. And with this, I would like to turn the floor back to Aristides to continue the call.
Aristides Pittas: Thank you Tasos. Let me open up the floor for any questions that you may have.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Mark Reichman with Noble Capital Markets. Please proceed with your question.
Mark Reichman: So Ken, I'm looking at the fleet profile. And so 10 of our 13 vessel time charters are set to expire in November and December of this year. And so I was wondering if you could just talk a little bit about your renewal strategy and also just your expectations for pricing. Obviously, we can see the rates in the market, but just a little visibility there would be appreciated.
Aristides Pittas: Yes, of course, we will have to take the market. Our current belief is that these are relatively low levels where we would not like to fix for longer periods. So we will probably be fixing our ships on trip time charters, [short] (ph) charters, which are anything between 15 to 90 days. At the current levels, of course, for this type of ships, positioning is extremely important. So depending on where the ship is, the numbers that you can see can vary from anything between bottom of, say, 7,500 to top of 20,000. But it all depends on where your ship is at the time that it opens up.
Mark Reichman: And then just second. Go ahead.
Aristides Pittas: We will not be securing longer charters at these rates because we think that at home in 2025 after the new year, we will, at some point, see high charter rates.
Mark Reichman: Okay. And then on just voyage expenses real quickly. So for the first half, they totaled about $3.7 million compared to $4 million for the full year of 2023. Just -- could you just talk a little bit about expectations on voyage expenses? I mean, is it...
Tasos Aslidis: I mean our charters, typically are time charters. So voyage expenses relate primarily to gains or losses on the purchase and the delivery of fuel on board between charters. And in case we have a ballast trip, then during that period, we pay the voyage expense ourselves. So they fluctuate in a less standard way.
Mark Reichman: Okay. What would be your expectations for the fourth quarter?
Tasos Aslidis: Because of the reasons I described, it's hard to have expectations because it depends really on the type of charters we doing whether it happens to -- for us to record a gain or loss when we buy back any remaining fuel from the previous charter and selling to the next one. I mean I would use for modeling purposes, I would use a percentage of the previous results modeling forward.
Aristides Pittas: Actually, I think for modeling purpose, reasons you would just use the time charter equivalent that you suppose that the vessels will get and neglect that.
Mark Reichman: Okay. Okay. I think that's what we had done. But -- so just lastly, so fourth quarter looks like that will be a very strong quarter. You won't have the dry docking expenses. Could you just -- I know you touched on it, I didn't catch it all, but could you just talk a little bit about dry docking for 2025? Do you think you'll -- if rates are low in the first quarter, would you pull any forward -- or just if you could just kind of reiterate the drydocking expectations in 2025.
Tasos Aslidis: In 2025, we have only 1 scheduled dry dock for Santa Cruiser. And we have drydock for one of -- it's not actually dry dock. We have a survey for special survey for 1 of our new buildings, which will pass in water. So that's why we have a very minimal drydocking expense in the forward 12-month breakeven expectation.
Mark Reichman: Right, 468. Thank you very much, I really appreciated it.
Tasos Aslidis: Thank you very much. Bye.
Operator: [Operator Instructions] Our next question comes from Tate Sullivan with Maxim Group. Please proceed with your question.
Tate Sullivan: Hi, thank you. I was reviewing it was a little about a year ago that you formed the partnership with NRP project finance -- is that -- can you give us an update on that joint venture? And are you still looking to do more potential acquisitions? And I just noticed that are you still flowing out some income to the joint venture. Just any update is appreciated.
Aristides Pittas: Hi, Tate this is Aristides. I think this is the relationship with NRP is going very well, and we have a regular meetings and everything is running smoothly. We have said that we are there to look at other projects together, and it is something that may happen. Indeed, the -- for the financials, Tasos, you can say a few things, perhaps.
Tasos Aslidis: No. I think we bought the ships this time last year. We care them, we show them we are -- we're fully consolidating their figures in our fleet, and we report their portion as minority interest, both on the income and on the balance sheet. The project in isolation, so far has recorded some losses, but we -- that's why we brought forward the dry docks we expect and we hope that the project will turn quite profitable over the next year.
Tate Sullivan: Understood. Great. Okay. Thank you. And then just globally, is the current weakness in dry bulk in most trade routes? Or is there better strength in Europe versus Asia? Can you just comment on sort of what that balance is going forward, please?
Aristides Pittas: Yes. I think Tate that it's uniformly relatively poor. China is a huge driver of dry bulk trade. And the fact that it has been slow has affected our expectations and I think the biggest part of the market. But ships are ships, we float around they go wherever they can find the best rate. So even if they were in balances, they balance out relatively quickly. I wouldn't say that there is a particular area of the world currently that is much stronger than any other.
Tate Sullivan: Okay. Fair comments. Have a good rest of the day.
Operator: Our next question comes from Poe Fratt with Alliance Global Partners. Please proceed with your question.
Poe Fratt: Hi, good afternoon Aristides and good afternoon Tasos. Tasos, would you review the refinancings that you did -- it looks like you repaid $10 million and you have new loans for $26 million, hence, the increase in cash of about $16 million. Can you just broadly describe the debt amortization on the two new loans and what the balloon payments would be in 2029 and 2030.
Tasos Aslidis: Yes. I think we have -- I mean, I can give you a little more detail after the call if you want, but we have -- we increased -- we relevered 4 of our ships in two loan facilities. Extending the maturity five and six years, respectively, going to 2029 and 2030 at a little lower margin. I don't have on the top of my head the balloons, but I'll be happy to provide you that information.
Poe Fratt: Okay. I'll follow up with you. And then if you look at -- I think you talked about the joint venture with NRP and potentially some other opportunities you're looking at. How do those potential opportunities factor into your stock buyback program. It looks like your stock buyback program has been fairly – the activity has been fairly muted. Although if I'm correct, I think you started buying stock back in this quarter, maybe 1,000 shares or so. Can you just talk about your stock buyback program relative to your other capital allocation priorities?
Aristides Pittas: Yes, [indiscernible] this is -- you are right, there's been very little buybacks up to now in this -- in the last quarter. We now feel that the stock price is even lower than where it should be. So on the 1 hand, we would like to proceed with further buybacks -- on the other hand, we are looking at a couple of projects and investment opportunities and thinking about them. And we have to decide how really we will go along with all that. It's -- unfortunately, the resources are not unlimited. So we can do both very heavily. But we will see, we will let you know how we proceed.
Tasos Aslidis: So I wanted to add that the stock buyback is limited by certain regulatory factors and we cannot execute more than what we have been already executing. There is up to 25% of the average volume that we can buy and certain other things that really that don't allow us to buy as aggressively as we would have liked potentially.
Aristides Pittas: I think also -- also the main reason is that indeed, the liquidity in the stock is not that high. So that makes it a bit less. We could have done more, obviously. But having not very liquid stock and thinking about investing some of our funds are the two reasons that kept us from doing more.
Poe Fratt: Yes. Just to confirm though, Aristides and Tasos, the buyback program was active in the fourth quarter as the stock went down.
Tasos Aslidis: It was active but -- I mean, in the fourth quarter, it was weeks into the fourth quarter, we stopped doing it because it comes within our trade window.
Poe Fratt: You quite --.
Tasos Aslidis: Trade window. But it was a very limited amount of shares that we bought back.
Poe Fratt: Yes, I always do it as more of a complement not a #1 priority, but I just wanted to make sure I understood that it is. You do feel that at roughly in the 15s or the mid-15s that the stock is undervalued and that you're more active than you have been obviously subject to the constraints of the average volume and everything, but you're more active now than you have been over the course of the last three quarters.
Tasos Aslidis: [indiscernible] Think is the first statement.
Poe Fratt: Okay. And then I think I'll follow up, Tasos on the details on the debt amortization and then the balloons. But the new loans, just to clarify, the new loans are about $26 million.
Tasos Aslidis: $16 million incremental.
Poe Fratt: Okay. On top of the $10 million that was due in the quarter. So right?
Tasos Aslidis: We refinanced even loans that weren't due in this quarter.
Poe Fratt: Okay, sounds good. Thanks so much.
Tasos Aslidis: You welcome Poe.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Aristides Pittas for closing comments.
Aristides Pittas: Thank you all for listening to us today. We will be back to you in 3 months' time. Thank you.
Tasos Aslidis: Thanks, everybody.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation. Thank you.